Operator: Hello, ladies and gentlemen. Thank you for standing by for 36Kr Holdings Inc.'s Third Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After management's remarks, there will be a question-and-answer session. Today's conference is being recorded. I will now turn the call over to your host, [Indiscernible], IR Manager of the company. Please go ahead, [Indiscernible].
Unidentified Company Representative: Thank you very much. Hello everyone and welcome to 36Kr Holdings third quarter 2023 earnings conference call. The company's financial and operational results were released earlier today and have been made available online. You can also view the earnings press release by visiting the IR section of our website at ir.36kr.com. Participants on today's call will include our Co-Chairman and CEO, Mr. Dagang Feng; and our Chief Financial Officer, Ms. Lin Wei. Mr. Feng will start the call by providing an overview of the company and performance highlights of the quarter in Chinese, followed by an English interpretation. Ms. Wei will then provide details on the company's financial results before opening the call for your questions. Before we continue, please note that today's discussion will contain forward-looking statements made under the Safe Harbor Provisions of the US Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's results may be materially different from the views expressed today. Further information regarding this and other risks and uncertainties is included in the company's prospectus and other public filings as filed with the US SEC. The company does not assume any obligation to update any forward-looking statements except as required under applicable law. Please note that 36Kr's earnings press release and this conference call include discussions of unaudited GAAP financial measures as well as unaudited non-GAAP financial measures. 36Kr's earnings press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited GAAP measures. And please note that all amount numbers are in RMB. I will now turn the call over to our Co-Chairman and CEO, Mr. Dagang Feng. Pal, please go ahead.
Dagang Feng: [Foreign Language] Thank you. Hello everyone. Thank you for joining our third quarter 2023 earnings conference call. During the third quarter of 2023, we achieved solid progress across all of our business segments, propelling a year-over-year increase of 2.5% in total revenue as we consistently enrich our content ecosystem and so to diversify and expand our product and service offerings. We also deepened the integration of AI applications across our business and in evolution of generative AI and large language models. These synchronized endeavors have empowered great strides in our commercialization and further elevate our operating efficacy, effectively reducing overall cost to improve efficiency company-wide. I'd like to begin with a discussion of this quarter's content initiatives and advancements, followed by a more detailed look at our commercialization progress across each of our business segments. 36Kr's core competitive edge lies in our exceptional content creation partners. Through years of dedicated effort, we have cultivated an extensive portfolio of premium sub-vertical media. Our multidimensional content matrix covers a broad array of trending topics and [Indiscernible] to connect with diverse user demographics, offering deep insights into industry trends and market dynamics for new economy participants. During the third quarter, we maintained a continuous flow of high quality content with blockbuster articles emerging back-to-back. More than 110 articles achieved over 100,000 page views. We also continue to expand our footprint across various channels, costing a multi-platform across media circulation metrics. As of the end of the third quarter, the number of our followers surpassed 32 million, rising 20% year-over-year. This achievement reflects 36Kr's substantial market influence and set a stage for greater business development. In addition to the solid performance of our text and image business content portfolio, we also achieved a new breakthroughs in content variety during the third quarter, spanning short videos, long videos, and podcasts. Let me start with short videos. We have constantly enhanced the value of our short video lineup, creating trendsetting and pioneering content that drives development industry-wide. This quarter, we launched an all new short video series, The Pioneers, the debut episode which we call the rise, fall, and potent combat of almost 20 old [Indiscernible] industry giants, [Indiscernible], garnered numerous shares and likes by users. Our vertical medium, 36Kr Auto, also continue to thrive, gaining momentum in content quantity and engagement with growth in the number of both likes and forwards. Overall, short video is pivotal for broadening our customer reach and enhancing user engagement and stickiness. As of the end of third quarter, we had over 8.5 million short video followers, among which, more than 2.50 million were [Indiscernible] users. Moving on to long videos, our first long video show Foreseeing 2033, returned for its second season. This student, we extended each episode from 30 to 40 minutes and elaborated the narrative with greater detail across five segments, including a deep-dive into the Jester's profile, a review of the historical backdrop, a thought provoking message of the era shaping their business success, key takeaways and insights, and an engaging Q&A session. We hosted a stimulating conversation with Charles Li Xiaojia, the former Chief Executive of Hong Kong Exchange and Founder of Micro Connect; William Li, Founder of NIO; James Liang, Founder of Trip.com Group; and Chen Yanshun, Chairman of BOE. We also have the privilege of speaking [Indiscernible] with Kevin Kelly, The Founding Executive Editor of Wired Magazine, who is widely recognized as the Father of Silicon Valley Spirit, [Indiscernible] Session. This flagship initiative was upstream across various platforms, including WeChat channels, Youku, and Beijing radio and television station. It not only cemented our standing as an innovator in long video production, but also showcase 36Kr's robust brand influence across the industry. In addition, we continue to broaden the horizons of our innovative audio content lineup, our first live podcast, Get off Work, Have Fun, fully leveraged our high quality content assets and delighted our listeners with a more diverse and a personalized audio experience. Additionally, several of our audio content programs were featured on [Indiscernible] text channel, including news/briefing business, intelligence hub, and services care breaking news. By driving user growth through an enrich the content experience, we made solid progress in crafting our comprehensive closed loop content ecosystems. The vibrant innovation in AI technology is creating intriguing growth opportunities for 36Kr and we diligently integrate AIGC technology throughout our ecosystem. We further enhanced our content production efficiency through AI applications of image generation, video creations, script editing, and data collection. Additionally, we launched the 36Kr medium light in Silicon Valley, our first unmanned initiative to further explore the innovative application and development of large language models in the financial industry. Furthermore, we joined hands with top tier industry players, including Baidu, SenseTime and iFLYTEK to deepen AIGC applications, including AI powered deep-dive into financial reports and the dynamics of the primary market. Harnessing AI-powered technical tools, we have delivered more comprehensive, more agile, higher quality offerings to a broader spectrum of companies, while optimizing our report value for money. Similarly, we also implemented a comprehensive AI-driven transformation company-wide, launching AI driven upgrades for a wide array of services and products such as the 36Kr and [Indiscernible] and our venture capital platform further reducing operating costs and elevating efficiencies. I'd also like to specifically highlight our forays into AI empowerment during the quarter followed our pioneering AI-powered ecommerce store earlier this year. This quarter we applied AI technology to create a virtual blogger for the Asia Games on [Indiscernible], which garnered significant visibility and engagement in just one month. Initiatives like this stand as a resounding testament to our leadership and consistent excellence in AI innovation and application. Thanks to our enriched content ecosystem and AI development, our content and product matrix remain robust with an ever-broadening array of offerings. Furthermore, we continue to diversify our customers' dynamics. Our stable, high quality customer base not only reflected the company's substantial market influence, but also laid the [Indiscernible] for consistent [Indiscernible] key performance matrix. Next, I'd like to share a more detailed [Technical Difficulty] AI application in business information across various scenarios. First, let's look at advertising where our revenue increased by 11% year-over-year, fully leveraging our strength in content and distribution channels, specifically engage target audiences and achieve the high marketing conversion rate. Furthermore, our continuous service innovation drove our accrual up by 20% year-over-year during the quarter. Through years of development, 36Kr has accrued extensive advertising service experience spanning multiple industries, including TMT, consumer goods, automotive, real estate, advanced manufacturing, and new energy. As such, we are well-positioned to accommodate the distinct market preference of advertisers across the broad spectrum of industries. For example, we provided a full service integrated marketing campaign for the launch event of Haier Wet/Dry Space Smart Robot Vacuum Cleaner from pre-event teaser posters and ID views to customize offerings and live broadcast during events. Our choreography of omnichannel content information and created topics resulted in total online exposure of over 7.94 million views. We also crafted a variety of marketing materials of Baidu, AI Cloud utilizing infographics and videos of on-site tours to vividly present its capabilities. We broadcasted this content across our new media metrics to efficiently reach the target audience, receiving widespread acclaim. Given our premium content, profound insights into user space and preferences and the high conversion rate of commercialized content. We expected to attract an increasing number of advertisers for content promotion going forward as well as achieve sustained revenue growth in advertising. In terms of short video advertising, as our content continues to gain traction on platforms like BiliBili and Xiaohongshu, we have attracted a more diverse range of advertisers spanning intelligent technology, consumer lifestyle, culture and entertainment, and other sectors. This quarter we build on our track record of producing permanent content by crafting a compelling video in collaboration with Alibaba Cloud, all our AI driving Asia Games, Xiaohongshu, infused with unique perspective, the video garnered 1.62 million views on BiliBili and ranked 30th on Weibo's Trending Topics List. Also as I mentioned previously, our sub-vertical medium services, Kia Auto continued to amplify brand influence, fostering new partnerships with renowned auto manufacturers, including BMW and Mercedes-Benz. Furthermore, we attended the 2023 IAA Mobility Event in Munich and auto show spanning major cities, including Guangzhou and Chengdu, delighting users with firsthand insight into the latest auto market dynamics through the wider variety of content displays formats, including images, texts, short videos, live streaming, and more, while further expanding our reach and partnerships in auto market. Meanwhile, empowered by AI technology, we set trends in digital human marketing by pioneering live streaming sales sessions, featuring digital [Indiscernible] in our Taobao store, an innovative initiative that has attracted the interest of many clients in addition corporation. In addition, we continue to expand and deepen AI applications across diverse scenario, capitalizing on our underlying technology's advantages in real-time interaction, visual effects, creative graphics, and other features to offer our users diversified AI making solutions, propelling the company's efficiency and sustainable growth. With respect to enterprise value-added services, in the third quarter, we remain committed to providing high quality services, leading to collaborations with additional corporate clients and government institutions. We hosted several industry-specific conferences during the quarter, involving Services Care Carbon Summit, Sustainable Value for Green Horizons, Innovate Digital Innovation Tour, deepening our engagement in these sub-verticals. Notably, at our Services Care Carbon Summit Sustainability Value for Green Horizons, experts, scholars, and stakeholders representing professional institutions, top tier platform, and leading consumer group companies from China and around the globe gathered together to dive into the latest trends shaping lower carbon consumption policy dynamics and the pioneering practices. The Summit achieved total online exposure exceeding 80 million views, underscoring 36Kr's pivotal role in fostering valuable connections among stakeholders in the new economic sectors. Another recent highlight was our Annual Flagship WISE Conference, which successfully concluded last week in Beijing. This year's theme centered on commercialization and cutting edge AI technologies. While WISE was previously focused solely on new economic participants, this year, we broadened the conference range to cover the entire business sector and updated its title accordingly to WISE 2023 [Indiscernible] of Business. We hosted over 300 distinguished commercials and economic experts, scholars, business elites, and investors including [Indiscernible], sparking ideas through thought provoking discussions. Quite a few of China's traditional industry icons also joined us at the WISE 2023, including [Indiscernible] enriching the event's diversity and offering fresh industry perspectives. WISE 2023 amassed over 1.030 billion views, further showcasing 36Kr's brand influence. Via our offline events, our consulting services and other enterprise value-added services continue to gain momentum during the quarter. 36Kr Research Institute further depended its industry insights, elevating our reputation through the publication of industry recent reports. On the commercialization front, we forged a collaborative consulting partnerships with government institutions in prominent cities such as Guangzhou, [Indiscernible] among others, as well as with industry giants, including Lenovo, [Indiscernible] Holdings Inc., Unicontact, and Pacific Insurance, among others. Furthermore, we have made consistent meaningful progress in our regional business expansion. Weiko hosted an AI Industry Development Summit titled AI Westlake with the government of Xihu District, Hangzhou, at the XPAA Conference 2023 to further explore innovative AI applications. Additionally, we launched a Connecting the Dot Along Investment Trails, a strategic initiative capitalizing our extensive resources across large scale traditional and innovative companies. This program aims to strengthen regional industry chains, address relevant shortfalls, and expand [ph] the integration of industry ecosystems. Our production of high quality content for this program has significantly increased user retention engagement. It's also worth mentioning that with the rise of R&D funds and the evolution of the guided funds, stakeholders in the new economic sector enjoying a plethora of investment options, maximizing the benefits of our robust brand advantages and adapt the resource alignment capabilities. We forged partnership with [Indiscernible], expanding our reach into regional markets to identify optimal financing channels and approaches for broader spectrum of enterprises. In addition, I'd like to highlight that our fund management subsidiary was recently successfully registered as a fund manager. This strategic move unleashed a fresh opportunities for us to facilitate deeper connections among industry stakeholders and investment institutions, while exploring involving possibilities for industry-wide cooperation, steering the company towards a new phase of growth. Regarding subscription services, revenue from subscription services increased by 62% year-over-year to RMB11.51 million during the quarter, bolstering our diversified course offerings and efficiencies, customer acquisition strategies. In addition to upgrades across our traditional training courses such as funding acceleration cap, we forced ahead with the development and expansion of high quality degree-based programs. For example, we made great progress on the postdoctoral research program we rolled out in collaboration with Keble College of the University of Oxford, further driving our revenue growth. In the meanwhile, we continue to add new courses to our portfolio and with the Can Do spirit, partnered with top universities worldwide to cultivate a high value-added training ecosystem, providing China-based senior executives with avenues to expand their careers globally. Moreover, with the widespread application of AI and on saving innovation in product intelligence, market demand for AI expert is growing increasingly urgent. We are actively embracing the business opportunities arising from this trend in collaboration with more AI-focused partners to expand and enrich our core offerings and training system with AI-related courses. Our strategic partnership cover AI cloud training and innovative talent development as well as industry-specific large language model solutions. Together with our partners, we are setting renewal benchmark for talent development in artificial intelligence, propelling the digital transformation of a wide range of enterprises. In the macroeconomic uncertainties, there has been a sustained increase in user demand for sub engagement, consequently, the training sector outperformed market trends in a counter-cycling fashion, aligned with the wisdom of the saying to do a good job, one must first sharpen the tools. Our user self-improvement has translated into overall enhancement of their performance and the efficiency incorporate workplaces. We are confident that as a company, we invest in the training field, we will further enrich our course offerings, constantly enhance our training system and continuously expand our consumer base. We expect a significant growth potential for our subscription services as we move forward. In short, we maintained encouraging growth momentum in the third quarter of 2023. Our total revenue increased by 2.5% year-over-year to RMB97 million, with revenue from our advertising business up 11% year-over-year outpacing market trends. Notably revenue from our subscription services surged by 62% year-over-year and our gross margin remained high at 56%, a compelling testament to the resilience and the vibrance of our business as we adapt navigate macro challenges. In the meantime, we redoubled our efforts across content formats, including images, texts, short and long videos, audio, podcast, and live streaming among others, fostering a sophisticated full spectrum content metrics. The number of our followers surpassed 32 billion, expanding its growth stake for a 10 straight quarter. Looking ahead, building on our peerless content, formidable brand influence and keen sense of innovation, we will actively forge new partnerships with global industry leaders, while resiliency exploring innovative AI applications, propelling the company's enduring excellence and sustainable growth. With that, I will now turn the call over to our CFO, Mr. Lin Wei, who will discuss our key financial results. Please go ahead, Lin.
Lin Wei: Thank you, Pal. Now, I'd like to walk you through more details of our Q3 financial results. Please note all amount numbers are in RMB unless otherwise stated. Total revenues increased by 2.5% year-over-year to RMB97 million in the Q3 of 2023, up from RMB94.6 million in the same period of last year. Online advertising services revenues increased by 11% RMB71.2 million in the Q3 of 2023 compared to RMB63.9 million in the same period of last year. The increase was primarily attributable to more innovative marketing solutions we provided to our customers. Enterprise value-added services revenues were RMB14.2 million in the third quarter of 2023 compared to RMB23.6 million in the same period of last year. The decrease was mainly due to the negative impact of macroeconomic uncertainties. Also our offline events are not scheduled evenly throughout the year and it turned out there were relatively fewer events during the third quarter. Subscription services revenues increased by 62% to RMB11.5 million in the third quarter of 2023 compared to RMB7.1 million in the same period of last year. The increase was primarily attributable to our continuous efforts to offer high quality subscription products and training programs to our subscribers. For example, in the Q3, we rolled out the postdoctoral research program that we collaborated with the University of Oxford, which was well-received by our high end subscribers and helped boost our subscription revenues growth during the quarter. Cost of revenues was RMB42.3 million in the third quarter of 2023 compared to RMB35.5 million in the same period of last year. The increase was primarily due to higher fulfillment costs and content costs. Gross profit was RMB54.6 million in the third quarter of 2023 compared to RMB59.1 million in the same period of last year. Gross profit margin was 56% in the third quarter of 2023 compared to 62% in the same period of last year. Operating expenses were RMB77.5 million in the third quarter of 2023 compared to RMB62.1 million in the same period of last year. Sales and marketing expenses were RMB32.4 million in the third quarter of 2023, an increase of 1% from RMB32.2 million in the same period of last year. The slight increase was largely due to the increase in payroll-related expenses, partially offset by the decrease in marketing-related expenses. G&A expenses was RMB36.9 million in the third quarter of 2023, a 123% increase compared to RMB16.6 million in the same period of last year. This fluctuation was primarily attributable to certain one-off expenses, including severance payments as we optimized our organization and office lease termination fees incurred in the quarter, as well as the increase in allowance for credit losses. Research and development expenses were RMB8.3 million in the third quarter of 2023, a decrease of 38% from RMB13.4 million in the same period of last year, as we continued to proactively embrace AI technology and streamlined our research and development teams, resulting in a decrease in payroll-related expenses. Peer-based compensation expenses recognized in cost of revenues, sales and marketing expenses, research and development expenses, as well as G&A expenses totaled RMB1.4 million in the third quarter of 2023 compared to RMB2.6 million in the same period of last year. Other income was RMB4 million in the third quarter of 2023 compared to RMB5.7 million in the same period of last year. Net loss was RMB18.9 million in the third quarter of 2023 compared to net income of RMB2.5 million in the same period of last year. Non-GAAP adjusted net loss was RMB17.5 million in the third quarter of 2023 compared to non-GAAP adjusted net income of RMB5.1 million in the same period of last year. Net loss attributable to 36Kr's ordinary shareholders was RMB18.9 million in the third quarter of 2023 compared to net income attributable to 36Kr's ordinary shareholders of RMB1.7 million in the same period of last year. Basic and diluted net loss per ADS were both RMB0.45 in the third quarter of 2023 compared to basic and diluted net income per ADS of RMB0.04 in the same period of last year. As of September 30th, 2023, the company had cash, cash equivalents, restricted cash, and short-term investments of RMB116 million compared to RMB136.5 million as of June 30th, 2023. The increase was mainly attributable to small-sized long-term investments in certain new economies entities we made in the third quarter of 2023, as well as net cash outflow from operating activities. If we exclude the previously mentioned one-off payments relating to the optimization of our organization and moving our headquarters office, which altogether amounted to over RMB25 million during the third quarter, our cash position actually would have increased quarter-over-quarter. This concludes all of our prepared remarks today. We will now open the call to questions. Operator, please go ahead.
Operator: Thank you. [Operator Instructions] Today's first question comes from Shen [ph] Zhao with CICC. Please go ahead.
Unidentified Analyst: [Foreign Language] Congratulations to the solid performance in the Q3. And how does the management view the fourth quarter and next year's advertising revenue trend? Thank you.
Dagang Feng: [Foreign Language] The third quarter brought sustained and robust growth momentum in our advertising business with year-over-year revenue growth of 11%. As the market gradually stabilized, we noted an encouraging rebound in demand for advertising compared with previous launches. Our branding and performance based one-stop advertising solutions have earned a substantial trust and support from clients, sparkling steady growth. Our advertising consumer base includes [Indiscernible], Internet Giants and the Fortune Global 500 companies as well as China's traditional industrial icons such as [Indiscernible], steady growth of advertisement placement by these companies propelled a year-over-year increase in our ARPU of 20%. Meanwhile, we also offer and a versatile services to emerging industry players, catering to their diverse advertising and marketing needs with graphics, texts and the long and short videos among other formats. For the fourth quarter, we maintained a cautiously optimistic outlook for our advertising business. To drive continued growth in our advertising business, we will further enhance our content influence, strengthen our in-depth cooperation with advertisers, and actively explore AI marketing and other new marketing channels to create more growth opportunities for advertising.
Unidentified Company Representative: Thank you. Next question, please.
Operator: Thank you. [Operator Instructions] Our next question comes from Lingyi Zhao with SWS Research. Please go ahead.
Lingyi Zhao: [Foreign Language] Congrats with good results and I have two questions. The first one was both long and short video segments recorded robust growth on a sustained basis, what plan do you have to in place to unlock further growth potential? And my second question is, the company's gross margin remained fairly high in Q3. What has the company achieved in cost reduction and efficiency enhancements? Thank you.
Dagang Feng: [Foreign Language] We have consistently prioritized content innovation and diversification for short videos. Our lineup already covers diverse topics ranging from technology, innovation, and business insights to lifestyle posted across popular short video media platforms, including BiliBili, Douyin, and Kuaishou. Our subvertical medium, 36Kr is also worth highlighting. Since its launch during the first half of 2023, 36Kr also has made great progress in terms of content quantity and user engagement with a surging number of likes and followers. We have also initiated partnerships with top tier automakers such as BMW and Mercedes-Benz. As of the end of the quarter, we had over 8.5 million short video followers, up 41% year-over-year, among which more than 2.50 million were BiliBili users. In the swiftly involving landscape of social media platforms, short videos have emerged as a crucial channel for user interaction and social engagement, earning widespread favor among advertisers. Short video ad also boasted a higher ARPU compared to other advertising formats further propelling the company's overall advertising revenue. Regarding long videos this year, I hosted a long video show for say in 2023. The show featured enlightening conversations with visionaries including Wang Shi [ph], Robin Li, Charles Dixiao, Jia Jing, Fei Yang and Kevin Kelly, which deeply engage a diverse audience. The first season has successfully concluded with a total online exposure of over 250 million views and the second season is currently arriving on Youku and Beijing radio and the television station. Looking ahead at 2024, we will continue to expand our footprint in long videos. We have three to four new programs in our long video pipeline, which are set to further enrich our content ecosystem.
Lin Wei: Hi, Lingyi, thank you for your question on gross margin and the financials. This is Lin. I will take your question. So, first of all, we continue to take rigorous cost control measures and optimize our cost structure. That's why we were able to maintain our gross margin at relatively high level, which is 56% level in the third quarter. And on top of gross margin, actually I want to highlight further that we are also taking initiatives to improve our operating margin as well. So, to cut our spending, actually in the third quarter, we have taken several measures. For example, we moved our headquarter office to a relatively lower rental building in the third quarter. And secondly, we continue to increase AI technology, which enables us to streamline our R&D team and which resulted in some cost savings in the payroll side as well. So, if you take a look at our operating expenses in Q3, although there were temporarily some one-off impact in Q3, because we have to pay some severance compensation, as well as terminating the old lease contract, we need to pay some compensation expenses. So, that hit our third quarter, but that's temporary and that's only a one-off issue. And if you take a long-term view at our these initiatives, those two measures altogether will give us a spending cut of at least RMB30 million on an annual basis. So, that's quite improvement on our operating margin. And going forward, on one hand, we will continue to grow our revenues and on the other hand, we will continue to embrace AI technology to more diversified business scenarios, so to cut our cost and further cut our spending. So, overall, we will improve our gross margin as well as operating leverage. Thank you.
Operator: Thank you. And our next question comes from Peipei Qiu with Industrial Securities. Please go ahead.
Peipei Qiu: [Foreign Language] Thank you management for taking my question. As you already explained how AI played a very important role in improving efficiency, but could you share more details about eventually AI helped make money? So, could you share like your monetization counts in this area? Thank you.
Dagang Feng: [Foreign Language] 36Kr has clearly demonstrated its vision and keen [Indiscernible] with respect to generative AI. Following last quarter's Pioneering AI-powered live streaming sales sessions, featuring digital humans in our Taobao store, during the third quarter, we collaborated with Alibaba Cloud and leveraged its large AI model, Tongyi, to create our Asia Games blogger on Xiaohongshu garnering significant visibility and engagement. On the advertising front, we are actively exploring and applying AI technology to enhance marketing effectiveness and craft innovative strategies. This includes personnel advertising content generation and advertising placement as well as intelligent decision-making based on data analytics. By consistently extending our footprint in AI marketing, we seek to provide our clients with marketing solutions that are smarter, more efficient and more innovative. Additionally, we joined hand with top tier investor players, including [Indiscernible] to deepen AIGC applications in analyzing financial statements as well as reporting on the primary market, delivering more comprehensive, more agile, higher quality offerings to a broad spectrum of companies at exceptional cost to benefit [Indiscernible]. Thank you.
Operator: Thank you. And our next question comes from [Indiscernible] with Sealand Securities. Please go ahead.
Unidentified Analyst: [Foreign Language] What specific factors contributed to the rapid growth in company's subscription services and new growth strategies in time for this segment?
Dagang Feng: [Foreign Language] The rapid growth in our subscription services was primarily propelled by the launch of our high-risk [Indiscernible] programs. This quarter, we joint hands with Keble College of the University of Oxford, and launched a new degree-based program, vastly boosting our ARPU to over RMB68,000. Meanwhile, we continue to enrich the high quality training courses offered through our venture capital class and funding acceleration cap. Our diverse and engaging course offerings brought top tier learning experiences to users drawing extensive [Indiscernible]. Looking ahead, we aim for additional partnership with top universities worldwide on more international MBA programs such as University of Oxford, University of Leeds, Queen Marine University of London, [Indiscernible] DraftKings University in the UK and INSEEC Business School in France, providing China based linear with [Indiscernible] to expand their careers globally. Moreover, with the vibrant advancement of AI innovation, we noticed an increase in people's demand for learning and harness AI technology. To address this demand, we are actively working with leading AI companies based in China to jointly develop AI focused training programs, enabling participants to have a better grasp of AI technology and practical skills. Thank you.
Operator: Thank you. As there are no further questions, I'd now like to turn the call back over to the company for closing remarks.
Unidentified Company Representative : Thank you once again for joining us today. If you have further questions, please feel free to contact the 36Kr Investor Relations through the contact information provided in our website.
Lin Wei: Thank you.
Operator: Thank you. This concludes this conference call. You may now disconnect your lines and have a wonderful day.